Operator: Good day. Thank you for standing by. Welcome to Eaton's First Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that today's conference is being recorded. I will now hand the conference over to your speaker host, Yan Jin, Senior Vice President of Investor Rations. Please go ahead.
Yan Jin: Good morning, thank you all for joining us for Eaton's Fourth Quarter 2025 Earnings Call. With me today are Craig Arnold, our Chairman and CEO; Paulo Ruiz, President and Chief Operating Officer; and Olivier Leonetti, Executive Vice President and Chief Financial Officer. Our agenda today includes the opening remarks by Paulo. Then he will turn it over to Olivier, who will highlight the company's performance in the first quarter. As we have done on our past calls, we'll be taking questions at the end of the polls closing commentary. The press release and the presentation we'll go through today have been posted on our website. This presentation, including adjusted earnings per share, free cash flow and other non-GAAP measures. The recount sales in the appendix, a webcast of this call is accessible on our website and will be available for replay. I would like to remind you that our commentary today will include statements related to the expected future results of the company and are therefore forward-looking statements. Our actual results may differ materially from our forecasted projection due to a wide range of risks and uncertainties that are described in our earnings release and the presentation. With that, I will turn it over to Paulo.
Paulo Sternadt: Thanks, Jin. Before we begin, I just want to take a minute to acknowledge Craig Arnold as you prepare to retire at the end of this month, for his incredible leadership over the past 25 years at Eaton, but especially during the 9 years as Chairman and CEO. He's focused on fostering a values-based culture strong attention to adtax and commitment to high standards have laid a very strong foundation for our growth. And the actions he's taken to transform our portfolio have positioned us for faster growth higher margins and better earnings consistency. So under Craig's strategic guidance, we have consistently delivered strong shareholder returns with our stock value rising from $61.65 on June 1, 2016, to $294.37 as per April 30, 2025. So thank you, Craig, for our strong leadership and the legacy you leave us with. I'm really excited and energized to be leading Eaton as such an electrifying time. On that note, let's get into the results. We will start with some highlights on the quarter in which we've delivered another strong set of results to start the year. We generated Q1 record adjusted EPS of $2.72, up 13% from the prior year. Organic growth accelerated to 9% from 6% in the prior quarter with particular strength in Electrical Americas, aerospace and Electrical Global. And we also delivered Q1 record segment margins of 23.9% and which was in line with our guidance and expectations. Meanwhile, market activity remained strong and orders remained at a very high dollar value. Total company orders increased 3% versus prior quarter. And as a result, total Eaton book-to-bill ratio at 1.1 with backlog growth year-over-year and sequentially. With a strong start of the year robust backlog and a strong secular trends, we are set up to deliver another year of differentiating results while we navigate through an increasingly dynamic environment. While I will go into the details on the full year outlook, at the high level, we are raising our expectations for organic growth and reaffirming our adjusted EPS, cash flow and share repurchases. Turning to Page 4 now. We present this chart at our annual investor conference in March. It provides an overview of the 8 end markets we play in and the mega trends driving a generational growth opportunity for us. Few companies have the opportunity that's in front of us right now. with multiple paths to our growth. And we remain very confident in the long-term market growth prospects for our end markets. Now turning to Slide 5. Allow me to quickly touch on Fiber Bond, an acquisition we announced at the annual investor conference and which we closed on April 1 this year. Fiber Bond is the right asset at the right time Data center players are increasingly focused on capital efficiency and deployment speed to improve their competitiveness. Fiber Bond's and innovative and customer-focused businesses positions Eaton as one-stop shop to rapidly deploy power where it's needed. By deploying outdoor modular powering closures, data center customers can also expand their IT area and generate more revenue per square foot inside the data center. In data center markets, we continue to see construction starts and put in place and showing strong growth. U.S. data center construction backlog now stands at 9 years based on the 2024 build rates, up from the 7 years of backlog we spoke about last quarter. And we are also seeing strong activity in EMEA, in APAC as well as regional and regulatory policies drive data center built out globally. Okay. And now I'll turn over to Olivier for the financial results.
Olivier Leonetti: Thanks, Paulo. I'll start by providing a brief summary of Q1 results. We posted 9% organic sales, well above our guidance range driven by broad strength in many of our end markets. We generated record quarterly revenue of $6.4 billion and expanded margin of 80 basis points to 23.9%. Adjusted EPS of $2.72 increased 13% from a strong start to the year above the midpoint of our guidance. Now let's move to the segment details. On Slide 7, we highlight the Electrical Americas segment. Once again, the business executed at a high level and delivered another record quarter. Organic sales growth accelerated to 13%, driven primarily by strength in data center and utility end markets. Operating margin of 30% was up 80 basis points versus the prior year, benefiting primarily from higher sales. Orders from a dollar perspective remained at a high level. As expected, orders versus prior year were down 4% on a holding 12-month basis to a tough comp from 1 large multiyear percent order in Q1 2024. Excluding this lumpiness, orders for the segment were up 4% on a rolling 12-month basis, and data center orders were up 11% on the same basis. Book-to-bill remains above 1 with 6% growth in our large $10.1 billion backlog, providing strong visibility for our organic growth in 2025 and beyond. Our major project negotiations pipeline in Q1 was up 18% versus the prior quarter, remaining at a high level, up 168% since Q1 2023. As Paulo discussed, we closed the acquisition of Fiber Bond on April 1. The next page summarizes the results of our Electrical Global segment. Organic growth accelerated from 5.5% last quarter to 9% this quarter, partially offset by 2% FX headwind, with strength in data center, machine OEM and Utilities end markets. We saw continued strength in APAC and a recovery in EMEA with both regions posting double-digit organic growth. Operating margin of 18.6% was up 30 basis points over prior year, driven primarily by sales growth and operating efficiencies. Orders were flat on a rolling 12-month basis with double-digit order growth [indiscernible] On a sequential basis, we saw an inflection in our quarterly orders up mid-teens in EMEA and GIS up double digits and APAC up more than 30%. Backlog increased 5% over prior year and 6% sequentially, while book-to-bill remained strong above 1 on a rolling 12-month basis. Before moving to our industrial businesses, I'd like to briefly recap the combined electrical segments. For Q1, we posted organic growth of 11% and segment margin of 26.1%, which was up 80 basis points over prior year. On a holding 12-month basis, orders were down 2%, and our book-to-bill ratio for electrical sector remains above 1. We remain confident in our positioning for continued growth with strong margins in our overall electrical business. Page 9 highlights our aerospace segment. Organic growth accelerated to 13%, resulting in all-time record sales. We had growth in all end markets and particular strength in military aftermarket commercial aftermarket and military OEM. Operating margin was strong at 23.1%. On a rolling 12-month basis, orders increased 14%, up 10% from the prior quarter with particular strength in military OEM and commercial aftermarket. On a rolling 12-month basis, our book-to-bill for our Aerospace segment remains strong at 1.1 and resulted in a backlog increase of 16% year-over-year and 5% sequentially. We are very encouraged by the strong results from the Aerospace team this quarter. Moving to our vehicle segment on Page 10. In the quarter, revenue was down 15%, including an 11% organic decline primarily driven by weakness in both commercial and ICE light motor vehicle markets in North America and 4% unfavorable effects. Despite top line weakness, the team managed to deliver strong margins of 15.5% with a decremental of less than 20%. On Page 11, we show results of our e-mobility business. Revenue increased 2% to reach with 3% organic, partially offset by 1% unfavorable effect. Operating margins were flat to prior year, which continues to include investments for our growth programs. We are seeing an expanding opportunity pipeline as customers are redesigning vehicles for lower cost and improved efficiencies. Now I will pass it back to Paulo to go over our market assumptions and guidance.
Paulo Sternadt: Thanks, Olivier. Before we walk through the details of our end market assumptions and guide I just want to address the uncertainties arising from the dynamic global trade environment. We will fully compensate for the tariff impact through the actions described on this chart. We have maintained a localized sourcing and manufacturing strategy globally for a long time. And as you know, we've recently announced large investments to increase our manufacturing presence in the U.S. Those decisions are helping us being even more resilient to the trading impacts the world is experiencing. It's also important to highlight that following COVID, we have spent the last couple of years introducing additional flexibility resiliency and digital tools into our supply chains. Many of those actions noted on this slide are aligned to our long-term strategy and it will take time to fully be implemented as the global landscape continues to evolve. But that's the way we run the company today. In the meantime, we have also implemented our proven playbook to control cost and limit discretionary spending. And we have and will continue to take the necessary commercial actions to offset the impact of tariffs. In dynamic markets like this, we rely on a strong Eaton culture and value of our strategic relationships with customers and suppliers so we can minimize disruption. Now we are shifting our attention to 2025 on Page 13. We have our latest view on the end market growth expectations. We continue to see growth across most of our end markets with a few adjustments to our assumptions, which are highlighted on the slide. In aggregate, broad market growth is similar to the view we shared last quarter, and we are confident in our ability to outgrow the market as we outlined in our increased growth guidance. On the plus side, we are raising the defense aerospace to solid growth based on momentum we are seeing with the increased government spending. However, we now expect slightly lower growth in electric vehicles with solid growth instead of strong double-digit growth. And we have also lowered our forecast for internal combustion engine light vehicles from slight growth to a slight decline. While we acknowledge the current economic uncertainties, we remain confident the portfolio of businesses and end markets we enable Eaton to continue to deliver differentiated growth. Moving now to Page 14, we have our updated guidance for 2025 and Q2. One of the things we pride ourselves on here at Eaton is our ability to plan for and navigate through headwinds. Our healthy and diverse end markets, combined with our large backlog continue to provide premium visibility to support our businesses. Our teams always target high internal plans, as you know, providing greater line of sight to additional opportunities to hedge against potential pockets of weaker growth. We are raising the 2025 organic growth outlook by 50 basis points to a range of 7.5% to 9.5%. We are reaffirming our adjusted EPS guidance. For 2025, we reconfirm our adjusted EPS range of $11.80 to $12.20. The $12 midpoint represents 11% growth in adjusted EPS over the prior year. We are also reaffirming our cash flow and share repurchase expectations for the year and we provided guidance for Q2 on this page. This reflects the net impact of the announced tariffs and assumes the current 90-day pause on rercypical tariffs will persist through the end of the year. On the next page, we have the balance of our guidance for organic growth and operating margin. The high organic growth outlook includes increasing the Electric Americas guidance by 150 basis points to a range of 12% to 14% growth. Meanwhile, we are decreasing vehicle growth by 350 basis points to a range of minus 5.5% to minus 3.5%, which reflects the weaknesses in the light motor vehicles. For segment margins, our guidance range of 24% to 24.4% is 40 basis points lower than the prior guide. Our guidance reflects the impact to margins from our commercial actions offsetting the impact of tariffs on a dollar-for-dollar basis. As such, we are lowering the 2025 outlook for electrical Americas by 80 basis points and in vehicle by 200 basis points. And I will close with a quick summary on Page 16. We are in the right markets and the identified megatrends are creating some of the biggest opportunities we have seen in our lifetime. The growth opportunities are everywhere. We had a very strong start of the year, but there's a lot for us to go do. We've discussed before, high standards are deeply instilled in our culture, and we remain focused on delivering our commitments, and we are prepared to weather any uncertainty ahead. So with that, I will open up for your questions.
Yan Jin: Thanks Paulo. For the Q&A today, guys, please leave me to your opportunity to just 1 question and then a follow-up. Thanks in advance for your cooperation. With that, I will turn it over to operator to give you guys an instruction.
Operator: [Operator Instructions]. The first question coming from the line of Chris Snyder with Morgan Stanley.
Chris Snyder: I just want to say congrats to Craig. 5x in the market cap of a 100-year-old company is pretty incredible. So best of luck going forward. For my question, I wanted to ask on data center, given all the market focus there. Could you just provide some color on Q1 performance. And then the comps are really tough, obviously, in data center this year. I think you guys had 45% organic growth last year and 75% orders. So what should we expect for data center the rest of the year as well?
Paulo Sternadt: Thanks, Chris, for the question. Well, we remain very excited about this market. We shared during our Investor Day the last month because the fundamentals are there, right, remain very strong in the marketplace. And our business did really, really well in Q1, actually, very strong double-digit growth versus last year actually stronger the 45% that we shared with you in our last discussion. So we are really proud of the team's performance there. In terms of the look forward, we expect orders to be at the high level, the high level of negotiation activity we have. And as discussed before, right, we're also really excited about the Fiber bond acquisition because it's a timely one when data center operators are thinking about their designs and how to move quicker in executing on their backlogs and how to make more revenue out of the average square foot inside the data center. So we're really excited about that. So we remain bullish that business is going well, and this is a key focus for us moving forward.
Chris Snyder: I appreciate that. And then maybe just following up, has there been any change in the U.S. market competitive positioning here following Trump 2.0 tariffs Obviously, you guys have a lot of big EU competitors. And you've also heard a lot about the last couple of years around season competitors adding a lot of capacity, whether it be transformers or switch gears given the undersupply. So any thoughts on what that could mean?
Paulo Sternadt: Yes. No, thanks for the question. Again, very, very important one. We is no surprise for anyone. You know that we are, by far, the biggest player in the U.S. in terms of our footprint historically, but also that we made record announcements in terms of expanding that footprint and that capacity starting already last year. So we have a head start, we had a head start. And all those projects are going -- undergoing gradually -- and I think we feel really good about the position the head start we had. I would say this, in terms of the competitive advantages we have, we do a lot in the U.S., so we depend very little on the external world to serve this big market here. But also globally, our other businesses in Europe and Asia, they don't depend on the U.S. Some other competitors we have, they serve the U.S., out of Europe. We don't have that. We have a local for local, I'd say, strategy and implementation. So on that, although we are not advocating for tariffs here, but on that is a positive effect for Eaton's competitiveness.
Operator: The next question coming from the line Andrew Obin from Bank of America Merrill Lynch.
Andrew Obin: Congratulations to Craig. What a run. Appreciate that. And now I'll turn it over to Paulo. So first question on Electrical Americas order outlook. Look, you had a tough comp in the first quarter. But how should we think about your Electrical Americas orders going forward for the balance of million?
Paulo Sternadt: Thanks, Andrew, for the question. I would say this, we should expect orders to remain strong at the dollar value. And based on the record backlogs we have and the visibility into 2025, we feel good about Electrical Americas performance and execution, and that's why we raised our guidance for the full year in terms of growth. As we discussed before, and you pointed out, those orders can be lumpy, especially when you have a very large multiyear order in a single quarter. So it's also important for us to track the pipeline in terms of negotiations. So I would say our negotiation pipeline remains very strong, similar to past quarters. And to give you a little more color since the last time we met for earnings. We see sequential momentum and the sequential momentum is about 18% higher than last quarter, and I'll give you more detail inside this because we really work really hard on this pipeline with our team. So for larger businesses, think about data centers and think about industrial, both app data centers, 18% up, industrial over 40% up. We also have increases in smaller businesses in terms of health care, education, water, wastewater, et cetera. And on the flip side, to be balanced here and give you a big balanced view. The only market we see a decline in negotiation pipeline are in commercial buildings and transportation, but they are smaller than the other markets before, and they are down around 20%. So overall, the number is 18% up. So that gives strong confidence in our future order pipeline.
Olivier Leonetti: And to complement Andrew, you saw the guide, yes, at the midpoint is going to grow at 13% in revenue, and we expect for the company and ESA included our book-to-bill to be over one.
Andrew Obin: Okay. And just a follow-up on the Electrical Americas. So maybe first quarter utilities performance, we attended distribute tech several weeks ago that seem to be pretty optimistic and your utility business has continued to post strong revenue growth over the last several years. So can you give us some color about your performance in the first quarter?
Paulo Sternadt: Yes. Well, as we shared in our Investor Day, this is another market that we have very strong growth potential. We feel really good about utilities we highlighted that in March. So I think here, again, the teams are doing a fantastic job not only in North America, as you mentioned, but globally. And I would say this, if we were already very well positioned with our very vast and comprehensive portfolio, we're going to be even more prepared as we continue to invest in leading technologies. So we have a full commitment here to this end market. And I said before as well, we have a differentiated portfolio, not a commoditized utility portfolio. That's why our performance is differentiated here. So to give you some color on the development year-over-year, our whole electrical business globally for the electrical sector grew mid-teens over last year, which is a very strong performance. with high single digit in global and high teens in America. So very, very strong performance.
Operator: The next question coming from the line Nigel Coe from Wolfe Research.
Nigel Coe: So Electrical Global has been lagging, but had a nice acceleration this quarter, 9% organic growth and pretty strong orders. I think you called out APAC orders up and machine OEM also up, I think, double digits. So just curious, just maybe just a bit more color in terms of what you're seeing in those 2 verticals.
Paulo Sternadt: Yes. No, thanks for the question, Nigel. We had a very strong performance in Global this quarter. You saw the growth around 9%. And if you look at the individual businesses, APAC, fantastic performance mid-teens and also low double digits for EMEA. So very good story here. What we're seeing in terms of the market development, utility markets are on fire globally, as I said before, data center market is really strong as well over the globe. And therefore, the short-cycle businesses, we see OEM stabilizing start to grow again and resis the market where we don't see recovery globally. So that provides a good picture. But I'm glad to see the results. I think you pointed out you all the analysts and investors that we had opportunities in improving our aerospace and our Electrical Global businesses. And although there is a ton for us to go do for me to go do, I'm encouraged by the green shoots we start to see here with the teams.
Nigel Coe: That's great. And Paulo, it looks like you're leading at the slide pack. There's a few slides that are missing from what we normally see. So I'm just curious, the mega project slide has always gotten a lot of attention. So I'm just curious what you're seeing on mega projects in the U.S. I think the last time -- we saw that slide is about $1.7 trillion, about I think 17% had kind of been tendered. So just a mark-to-market there would be helpful.
Paulo Sternadt: No, thanks for the question. Now in retrospect, I think I should have added that slide back on. I'll give you the information. We track that very rigorously. So Q1 was another strong quarter for announcements. Actually, 42 projects and in dollar amounts, $169 billion. So very, very high announcement rate over 40% versus last year. And if you look back, we did that exercise here with our leadership team. If you look back the announcement rate monthly increased to $57 billion. So again, a very impressive set of numbers. And then you think about starts, most of those products haven't started. It's just 15% then started. So the message we always emphasize, we're going to continue to emphasize is of a long tail of businesses coming into the U.S. from those mega projects. And in terms of starts, Dodge data, Dodge forecast sees that it will be around $300 billion in starts for this year versus $135 billion last year. So even if we don't believe all those projects will start as planned there's plenty of room to show still strong growth year-over-year.
Olivier Leonetti: We are tracking Niger also, you do to the level of cancellation, and we haven't seen any change still in the 11% range.
Paulo Sternadt: Yes. And just to give another data point on momentum here. Think about this, we track this for since 2021, I guess. And we booked a little less than let's say, in orders from those projects. We have $3.6 billion in negotiation pipeline today. So there is definitely acceleration. Definitely takes time is a long tail for the business.
Operator: The next question coming from the line of Jeff Sprague from Vertical Research.
Jeff Sprague: Could you share with us what the gross tariff impact is that you're wrestling with here and give us some sense of how much of it is price versus cost and other actions, certainly get price must be an important part in the margin friction. But help us size that up, please.
Paulo Sternadt: Yes. So first of all, we -- I want to give you and everyone around the call the reassurance that we take tariffs really, really seriously. And we meet frequently with the team. The teams meet every second day. I personally meet with the team every week. And I think I should also say, and I hope you appreciate, is a rather very dynamic environment in every single week. So we decided not to disclose that number because we will be wrong in a week's time. What you can expect of us is that we will continue to run this with the biggest rig or possible trying to mitigate the cost pressure and at whatever cost pressure we get, we're going to recover on a dollar-by-dollar basis in terms of pricing. Maybe, Olivier, if you want to add some color.
Olivier Leonetti: No, I mean, we had a slide on this. We're going to use 3 levers. It's quite intuitive. One, we're going to manage our cost Two, we're going to implement supply chain actions and 3 pricing will be one of the elements. So the 3 levers would be a play for us to mitigate on a dollar-by-dollar basis, the impact of tariff. Now we will see how the tariff evolves. We expect over time to recover from a margin standpoint, but not this year.
Jeff Sprague: Understood. Okay. And then maybe as a separate question, not a follow-up per se. But Paul, you mentioned kind of the focus on global, right? That's one of your to do list items here as just step into the leadership role Obviously, nice to just see this market tailwind starting to kick into gear. But how quickly can you sort of action kind of organic initiatives there or start to tuck in with some of the bolt-ons less you're thinking about to kind of round out your position in some of these growth verticals internationally.
Paulo Sternadt: Yes. So thanks for the question. So I think there are many elements to Global's improvement and most of, if not all of them, are also applicable to aerospace. First of all, operationally, we can do better. based on the business we already have in hand. And we are working on that strong leadership in place, support of the whole company. So that's something that is in our full control in self-help. The other element is about the portfolio. We have an organic strategy. We are dealing with this new environment of project business. We decided to invest in Dubai. We launched that. We broke ground. And here, not only are we investing for the region in terms of being a player to produce locally, so we can win more business in this very fast-growing market. But we're also going to have a front-end group of engineers developing project business for the overall region, not only for the Middle East. So that's something that we are committed to do and we are doing it. So it's part of the organic play. If you look at the rest of the global segment, it's no surprise to you that the GIS business continues to perform well with the market has been flattish over time. So we have opportunity as well on that side of the business to come back up. If you follow other competitors in the same space, so we have that in our favor. And then I think the strategy that the Asian team implemented over the years through JVs has proven to be the right one because they are consistently beating the competitors locally and growing double digits in an environment like this is a testament to the leadership of our leaders down there. So there's a bit of execution. There is a lot of leadership and discussion around organic growth we can do. And we are not close to the right deals if they pop up. but we don't depend on them for near future and for our long-term plan.
Operator: Next question coming from Nicole DeBlase from Deutsche Bank.
Nicole DeBlase: Craig, congrats on your retirement. Maybe just starting with -- I know this is a bit nitpicky, but the guidance now implies kind of like 47% EPS in the first half of the year. I think it was about 48% as of last quarter. So can we just talk about the puts and takes of what might have shifted between the first half and the second half?
Olivier Leonetti: Yes. Thank you for your question, Nicole. You're right. Initially, we had indicated 48% for the first half and now about 47%, if you do the math. That's about $0.10. 6 of the 10 relates to corporate items. That includes higher interest rate associated with the financing of fiber bond. And the second element of increase in corporate cost is also the timing of equity compensation for some of our executive requirements. I don't need to mention names here on this call. You have also sort of $0.06, $0.04 is the timing delay on the recovery of the tariff. We will recover tariff on a dollar-for-dollar basis over the year, but we have a headwind of about $20 million, $0.05 in Q2, Nicole. I give you another number, and I'm sorry to mention so many statistics. Historically, first half is about 46% of the earnings. So at 47% were slightly better.
Nicole DeBlase: Olivier. That was really helpful. I appreciate all the detail. And then this question is kind of hard to ask because I know you guys don't like to give a lot of color on price and that's totally understandable. But just trying to understand like the moving pieces with respect price and volume in your guidance. Did you guys actually maybe take a little bit of a haircut to the volume expectations in the second half to embed some potential macro uncertainty in the more short-cycle businesses.
Paulo Sternadt: Yes. So let me start, and then Olivier can add color if he feels like. The overall market, when we talk about the end markets is at the same level as we saw before, around 7%. And for the overall end markets we see. With a little change of -- we see a little bit more pricing because of the tariffs and a little more volume, but it's already embedded in the 7%. Having said that, we are highly confident based on our backlog position that we can outgrow that market. That's why we then increased our organic growth for the year. So that's a way to think about it. In terms of leveraging the cost base with tariffs, we are fully committed. The teams are on it, and we're going to take action. We've done that in the past. We have a playbook. And then if we need to go for pricing, we'll get the pricing.
Operator: The next question coming from the line of Deane Dray from RBC Capital Markets.
Deane Dray: Special congrats to Craig, and I want to note that Olivier was so polite, not to name any names on retirement packages, but congrats.
Craig Arnold: I want to audit that number, Olivier. I'm not sure if my retirement package is big as what you suggested. We'll move on.
Deane Dray: All right. Yes. Let's move on. So can we dive a little deeper into the implications on data center backlog going from 7 years to 9 years for the industry because that's really significant. Just talk about implications and opportunities. And are there opportunities for Eaton to increase the share of wallet in particular? And where might those be and just how do you pull those levers? And then related talk about those 5-year supply agreements. I would imagine if it's being pushed out to 9 years, you're being asked to do these more and kind of touch on the economics.
Paulo Sternadt: Yes. Thanks very, very good question here. If you think about the implications that it's not going to take 9 years for them to build this. The industry will continue to find ways to build faster and to get things done in a more, I would say, productive and competitive way. So what you should expect is that Modular Solutions the likes of the JV we made in Europe, but also the acquisition we made with Fiber Bond in North America start to be more relevant, one, because you take a lot of engineering requirement away from the data center operators is largely used already today by multi-tenant data center builders and with very much interest from hyperscalers to adapt as well. So this is one big conclusion we can derive from. Another one is that data center operators and investors are much more open for solution discussions with providers like Eaton that have a very broad portfolio, and they can sit on the table and help them make their designs better. So we welcome that. We are, by far, the company that keeps investing this the most. And we are hiring also experts that can have this dialogue in the designs of our customers and how to accelerate their produce. The other part of it is not only about speed, it's about efficiency of capital, think about making best returns out of the dollar, not only because of timing. And then again, we're going to talk about removing equipment from inside the data center so they can have more revenue from the racks. Again, we are there. We are at the table. We are discussing with our biggest customers in how to help them. So there are consequences, and I think they are positive for Eaton.
Deane Dray: And 5-year supply agreements?
Paulo Sternadt: We have those long-term agreements, of course, I don't see a change there. I don't see people going for 9 years. I think it's too long and too speculative for me to say that. I haven't seen that so far.
Deane Dray: Great. And just a related question, and Chris earlier question touched on this. Can you address barriers to entry. You see lots and lots of new competitors I could supercompute. Just I know being on an approved vendor list is extremely important, but what are the other barriers to entry?
Paulo Sternadt: Can you repeat the beginning of your question? I didn't get the beginning of it.
Deane Dray: Yes. Just the idea that with this kind of growth, there's more competitors coming into the market. Chris Snyder mentioned it in his first question, just the idea of how is Eaton positioned already? I know you're on a number of approved vendor list in the hyperscale players. But where and else are there barriers to entry because this market is attracting lots of new competitors?
Paulo Sternadt: A very good question. Of course, the designs of the future is when you put your name on the table and then you become relevant. So we have the fortune to be present all the way from the utility feeder all the way down to the server rack, right? So that gives us a tremendous advantage there. And to your point, of course, it's a big market that attracts interest from many players. But we also need to work with a chip manufacturers today. That's the difference. In the past, we only work with the data center, hyperscalers and multi-tenant. Today, the collaboratIon is much more intensive, it's much deeper Therefore, you need to have open discussion with the likes of the chip manufacturers here, NVIDIA and so on. Not many companies, especially for new companies can have the dialogue with them. So again, this is another entry barrier that creates naturally, by the way, the market is developing.
Operator: The next question coming from the line of Joe Ritchie from Goldman Sachs.
Joe Ritchie: Congratulations, Craig. My first question, I'm just -- I know that you don't want to give the exact tariff impact and there's a couple of ways to maybe just parse this out. But if I take a look at just the change in your segment margins in the 2 segments, Electrical Americas and in Vehicle, like roughly $150 million impact for the given space on the original guidance versus this guidance. And I fully appreciate that the vehicle markets are a little bit worse, but that doesn't fully explain it. And so I'm just trying to -- I'm trying to understand like maybe even outside of the one-for-one tariff and pricing impact, what else has anything else really changed on the margins, totally recognizing that vehicle has probably gotten a little bit worse?
Olivier Leonetti: Joe, if you were to look, we haven't changed our guide. So $0.12 at the midpoint of EPS. Fiber Bond is neutral from an EPS standpoint. You have to conclude that tariffs are neutral from a dollar standpoint as well. We have said this Largely the guide excluding tariff and fiber bond is unchanged relative to what we had at the start of the year. You could then give a bit of -- you could size a bit what is going on to the P&L with what I've just said, largely unchanged prior fiber bond and the impact of tariff on the P&L. Top and bottom line.
Joe Ritchie: Okay. All right. And I'll walk through some of the math maybe offline, but then also just on the change that you guys have on the top line. So some of it sounds like better growth so it's a little bit of an impact from pricing, but it does also appear like there's a lag because you've got this $0.05 impact that you called out for the second quarter. So I guess my question is on the pricing side. given that you have a portion of your business going through distribution, but you also have projects that you've now booked into your how easy is it going to be for you to get the pricing that you need to cover the tariff impact? And does it impact the margin profile of some of the projects that you've already booked into your backlog?
Paulo Sternadt: Yes. Good question. I'll get started here. So first of all, we definitely will take care of backlog as needed as well is not off the table, of course. And in terms of the pricing approach here, there is a little lag in Q2 because for price realization to sales it takes a little time for us to see in the bottom line. So that explains why not only the below the line, $0.06 that Olivier talked about, but also the operational margin has a little lag that, as we said before, we fully compensate during the fiscal year, and we're going to recover the margin structurally moving forward according to our long-term plan. So that's the way to think about it.
Operator: Next question coming from the line of Amit Mehrotra from UBS.
Amit Mehrotra: Can you just talk about the opportunity for data center orders to actually reaccelerate given the changes, obviously, that happen to our rack density from the transition to Hopper to Blackwell. I mean we're talking about 60 kilowatts to over 100 kilowatts per rack. Is that transition already reflected in the backlog? Or can we actually see orders actually tick up in absolute dollar terms to reflect that opportunity in terms of total energy intensity.
Paulo Sternadt: Well, thanks. So everything you described in terms of the rack power, it goes right into all in what we are good at. Of course, the benefits our business. I would say this. So for the long run, I would say, it's logical to think this market will continue to be stronger for longer. It's very difficult to make order forecasting on the quarter, that's why we always point to 12-month rolling and even 12-month rolling given some oversized orders can be lumpy as well. So I would invite you to think about the negotiation pipeline we have. So once again, if I go back to the answer I gave earlier in the Q&A. Our data center business grew over that 45% I talked about last quarter. And our negotiation pipeline is up 18% even to last quarter. So yes, definitely is a trend. Difficult to predict orders, but we are negotiated in the next designs with our customers, and that's a trend that we embrace and we're going to benefit from.
Olivier Leonetti: If you go back to what we said not too long ago during Investor Day, we have said that this market care, we expect this market to grow at 15%. By the way, that number was considering the constraints due to power, which is the business we are in. Without these constraints, you could argue that the level of business will be maybe double of that. And if you look at all the calls we have had this week, all the hyperscalers are confirmed the level of CapEx. So we believe that this 15% CAGR for data center is still intact.
Amit Mehrotra: Okay. And just it's a fast-moving technology and market, so things can change, which is what I'm trying to figure out. So the question -- when we think about this $1.5 million of content per megawatt that you guys have put out there. Is there a difference if the AI data center proliferation is done via retrofit versus greenfield? And maybe also related, do you expect Electric America's backlog to be up this year? Or maybe do we start burning some of that just as that capacity comes online?
Paulo Sternadt: So to the first part of your question, I would say this that the AI data centers will increase our dollar per megawatt content because of the reasons you just described before, in terms of the power density, how much of electrical equipment goes within it, but also because you need UPS's even for the liquid cooling part of the portfolio. So there is definitely a growth in that area. And then a second part of your question was once again on what can you repeat the second part?
Amit Mehrotra: It was just about the retrofit versus the greenfield part of the equation in terms of content if it matters. And the EA backlog the backlog growing year-on-year?
Paulo Sternadt: Okay. That's the part I was missing the backlog. So on the retrofit versus new builds, we try to find solutions for our customers that it's modular. So think about building blocks that will feel and look the same, whether you're doing inference or what you're doing training AI. So if we and we are working on that very closely. When we get the designs done with customers, then it becomes a very good opportunity for us to do retrofit. So it's not disconnected effort is a very well-connected effort. To your question on the backlogs for Electrical Americas, we, again, it's difficult to predict order development, but we see that our book-to-bill will continue to be above 1. That's what we are aiming for.
Operator: Next question coming from the line of Tim Thein from Raymond James.
Tim Thein: Great. Just going back to the electrical global discussion earlier and nice to see maybe we've got some tailwinds there from an organic growth perspective. I'm just thinking about the implications for profitability I think since that the restructuring has been underway. There's been over, I think, just over $100 million of restructuring charges that, that segment has incurred. So how should we think about kind of the timing the realization of some of the associated savings in that particular business.
Olivier Leonetti: So the improvement of the margin in our global business has been a focus for the management team. And that's why we have most of the restructuring targeted at this business. We see the half of our -- the second half being impacted by restructuring programs more than the first half indeed.
Tim Thein: Meaning the savings with that? Or I'm sorry...
Olivier Leonetti: Both, the impact of the program and the associated savings. Correct.
Tim Thein: Got it. Got it. Okay. All right. And then maybe, Olivier, why you have the mic. Just a comment on cash conversion and Specifically, I'm just -- obviously, there's a typical seasonality in terms of your cash collection, but the day sales outstanding did seem to kind of jump out. And I -- just curious if that's a reflection or should we think about as you're doing more and more business with some of the hyperscalers, is that of an implication in terms of ultimate collection? Or is there something else going on there.
Olivier Leonetti: No. If you look at the performance of the cash in the quarter, the big variable impacting our cash flow was actually inventory and that was intentional. We feel like other companies, we build inventory to manage tariff -- that was about 4 days, give or take, of inventory. It's about $150 million. And the inventory was built in parts, which are going to be more targeted by tariff -- we haven't changed our free cash flow guide for the year. And to answer to your question should be relatively flat year-on-year and nothing specific going on, you could have a phasing in the quarter because how the sales are phased in a particular quarter, but nothing happening on DSO, it's an inventory story.
Operator: And the next question coming from the line of Scott Davis from Melius Research.
Scott Davis: I think most of the questions have been asked that are relevant. But I wanted to back up a little bit and just talk about lead times and your own capacity in the context of where are we now? I mean, I'm sure transformers are still a pretty long ways out, maybe even still 23, 24 months. But as far as the rest of your offering? Are we back to normalized lead times for the most part?
Paulo Sternadt: No. So we are not back to normal. We see improvement in our lead times. Think about 20% to 25% depending on the product line, but we keep pretty loaded. In terms of the investment and the capacity through the first part of your question, we said before that we don't have projects we have 2 dozen of projects happening. So thinking about expansions that are already in play. And that is supporting the print that eletric Americas team could put on the table, right? Stong 13% growth and a vast majority, if not all, is volume, right? It's not very little pricing today on that. So that starts to show. Nevertheless, we continue to invest. We have projects in early stages. So I should expect more of capacity coming online in the second half and beginning of next year. That's a good way to model.
Scott Davis: Okay. That makes sense. And I think you said something in your prepared remarks, Paulo, about capacity adds in North America just above and beyond perhaps what you had planned for before, but maybe I'm misreading that. Can you comment, are you actually accelerating some plans to build local to local in light of the tariff announcements? Or is that -- am I over reading that?
Paulo Sternadt: No. We -- as I said before, we made this $1.2 billion additional investment in growth public much before tariffs. We're just executing on that plan. We don't depend on that plan. And we continue to monitor. If things will change. We have a plan. We feel really good about capacity adds for a number of reasons. We felt good before because then markets are very strong, number one. Number two, as question before, some of our customers give long-term commitments. So we feel good about it. Number three, we have in our business something really particular to Eaton that our capacity is fungible. So if you think about a power transformer, I can sell it to data center, I can sell it to commercial institution or can sell to industrial, so on and so forth. Very few companies have the opportunities. So we feel good about it. And ultimately, our investments are on assembly. Don't think about this heavy machinery, high capital-intensive we can get a lot of output for the dollar we invest. So we feel good about it. We continue to monitor it. And if needed, we will expand it, but we don't see them needed as of today.
Yan Jin: I think we have reached the end of the call and appreciate everybody's questions. It's always the IR team will be available to address too follow-up questions. As a good rest of your day.
Paulo Sternadt: Thanks, everyone.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.